Operator: Thank you for standing by, and welcome to the Orora Limited Fiscal Year '26 Half Year Results. [Operator Instructions] I would now like to hand the conference over to your speaker today, Mr. Brian Lowe, Managing Director and CEO. Please go ahead, Brian.
Brian Lowe: Thank you. Good morning, everybody. Thanks for joining us today for the Orora Group Half Year 2026 Results Presentation. I'm joined by Shaun Hughes, our Chief Financial Officer. Today, Shaun and I will provide you with an overview of our results for the first half and an update of the operational progress as we reshape the portfolio to be a focused beverage packaging business. At the end of the presentation, I'll conclude with some insights and perspectives for FY '26, including our outlook statement. Once concluded, we'll be happy to take your questions. And before I start, please take note of the important information on Slide 2. Turning to Slide 4. Today, we'll be delivering the following key messages. At a group level, we have delivered a robust set of results for the first half of 2026, focused on disciplined execution and controlling the controllables. We achieved volume growth in Cans and Saverglass. And importantly, EBITDA was up in all businesses, and we continue to generate strong operating cash flow and cash realization, a hallmark of Orora. Our Cans business grew strongly with volumes up 11.2% as we leverage the investment in new capacity, noting our growth investments are nearing completion. For Global Glass, operating conditions remain challenging. However, Saverglass grew volumes by 2.6%, while Gawler volumes declined slightly. The new Global Glass executive team is in place and focused on executing their key business priorities. And finally, we completed our 2025 calendar year buyback, and our balance sheet remains strong, which supports ongoing shareholder distributions through dividends and on-market buybacks. We bought back $227 million or 110 million shares in calendar 2025. And today, we have announced a new $270 million buyback program. Turning to Slide 5 and our first half financial highlights. The results you'll see today are for the continuing operations, excluding significant items, except where noted. Shaun will also provide details of our statutory numbers later in his presentation. We delivered a robust operating result underpinned by disciplined execution across the business as we continue to focus on operational efficiency, cost control and customer partnerships, and that focus is reflected in our numbers for the half. EBITDA was $218 million, an increase of 14%, with the improvement driven by solid contributions from all businesses. EBIT was $131 million, an increase of 8.5%, with growth primarily driven by Gawler and Cans with higher D&A tempering the Saverglass EBIT. Underlying NPAT was $78 million, up strongly on the prior period by just over 32%. Operating cash flow was again very strong, up 51% to $190 million and cash realization of 112% demonstrates our continued focus on managing cash. This cash flow outcome reinforces the strength of our balance sheet with net debt of $387 million and leverage at 0.9x EBITDA. Our strong balance sheet and commitment to returning funds to shareholders has resulted in the Board today declaring an interim dividend of $0.05 per share unfranked. Finally, in line with our disciplined capital allocation framework, we returned $227 million to shareholders through our 2025 calendar year on-market buyback program, which represents approximately 8% of issued shares. Turning to Slide 6. Let me now turn to operational performance across our segments for the first half. As you can see, market dynamics varied across the portfolio. But in every part of the business, our teams executed with focus and discipline. Starting with our Cans business, which again delivered a very strong performance. Revenue grew to $442 million, up 19% or 15%, excluding pass-through impact of aluminum prices, with EBITDA increasing to $61 million, up 8%. EBIT was $52 million, up 4%, noting that this includes $5 million of corporate costs following the sale of OPS. If we exclude this item, EBIT increased 14.5%. The growth continues to be driven by solid consumer demand for Cans, boosted by the rise in new beverage categories and ongoing substrate conversion. We saw volume growth of 11.2%, enabled by recent capacity expansion investments. The new Revesby Line 2 supported elevated multi-size volumes, especially in Queensland. Our Rocklea Queensland investment remains on track with approximately $100 million spent to date. Turning to Saverglass. This business continues to operate in a more challenging global demand environment. Pleasingly, volumes were up just under 3% compared to the prior corresponding period. This is a solid outcome given overall market softness. The growth in volumes reflects a stronger order book that we've seen since late calendar 2024, and I'll also cover orders and inventory levels in more detail shortly. Revenue was $298 million for the half, down 2.6%, reflecting primarily mix impacts. EBITDA was $69 million, up 1% for the half, with the revenue decline offset by ongoing cost discipline. EBIT finished at $ 35 million, which was down $ 3 million or 9%, negatively impacted by a $ 4 million increase in D&A. Saverglass earnings reflect the actions we have taken to shore up the cost base, which will also benefit the business as volume grows over time. The Le Havre F4 furnace closure is nearing completion with the final redundancies taking place during February. The new Global Glass President and new CFO are now in place with focus on executing the Saverglass key business priorities, which I'll cover on our next slide. And finally, for Gawler, revenue was flat at $155 million, with EBITDA increasing 54% to just under $35 million and EBIT up 94% to $17 million. This improvement reflects the impact of the G3 furnace rebuild in the prior corresponding period. Our G3 furnace is outperforming expectations, delivering 31% energy efficiency improvements versus the prior furnace, demonstrating the benefit of disciplined capital execution. and we continue to progress plans to shift surplus volume to the UAE, strengthening the long-term competitiveness of our glass business. Turning to Slide 7 and our Saverglass priorities. With the new executive team now in place, they're focused on 6 key priorities, which are to drive business growth, expand margins and strengthen cash flow generation in a challenging global wine and spirits market. The key priorities are: firstly, to accelerate the new business pipeline by delivering volume and revenue growth in target markets, strengthen global and key account management, enhance the pipeline build and rebalance sales resources towards new business pursuits. Secondly, by improving our time to market for NPD, we shorten the lead time for NPD to deliver benchmark performance with tailored solutions to match the customer opportunity. Work is well underway to streamline processes, lift design capability and create a digital innovation center for our customers. The next priority is pricing transformation. We will review pricing architecture, build global and regional pricing capability and invest in dedicated tools. This will improve speed of responsiveness and ensure we capture full value for our premium products. For inventory management, we aim to materially reduce inventory through tighter customer supply chain integration, expanded vendor-managed inventory and optimized production planning, unlocking cash and improving service. Next, we will be targeting a reduction in SG&A. We'll automate more, simplify processes, remove cost and establish a shared services center. This will reduce central overheads and make Saverglass faster and more efficient. And finally, for operational efficiency, we'll build on the strong quality focus to embed productivity and lean methodologies within the operations. We will continue to deploy Industry 4.0 with the integration of digital technologies into manufacturing to make into manufacturing to make our plants smarter, more efficient and more automated. These 6 priorities give Saverglass a clear path to enable new business growth and the performance expected from the business. As part of this refocus on Saverglass key priorities, we have undertaken a corporate restructure, resulting in $ 7.8 million after-tax costs, which will deliver $ 6 million of annual EBIT savings from late FY '26. In relation to Le Havre F4, now that we've finalized the closure of the F4 furnace, there is an incremental after-tax cost of EUR 2.8 million. Importantly, we are confident in the annualized run rate benefit of EUR 9 million EBIT per annum with the full benefits to flow from February 2026. Turning to Slide 8. As mentioned, our Saverglass order intake has further strengthened. We've seen a solid uplift in demand through the first 7 months of FY '26 with order intake showing strong momentum compared to the prior corresponding period. Average monthly orders for the 7 months to January year-to-date are up 18% from the prior corresponding period, reflecting improved customer sentiment and a return to more normal ordering behavior. Consistent with our previous years, the first half was again skewed to spirits with the mix up approximately 4 percentage points versus the first half of last year. This was more evident in Q2 than Q1. For the second half of FY '26, we expect the seasonal skew to shift back towards premium wine and champagne in line with the Northern Hemisphere harvest. As always, timing of conversion from orders to sales can vary depending on customer lead times, which typically run between 4 and 6 months. On the right-hand side of the slide is an update of our inventory levels. The position remains well managed and aligned with the improvement we're seeing in orders. Sales volumes were up 2.6% for the first half with a total inventory level stable versus the prior period. Saverglass owned inventory increased slightly, which is consistent with a stronger order intake and expected sales into the second half. Importantly, customer-owned inventory has continued to trend down. At December 2025, customer-owned inventory was 18% lower than the prior year or 15% lower at January 2026, another sign that the destocking cycle is behind us. Overall, the combination of stronger orders, stable inventory and declining customer held stock gives us confidence in the momentum we're seeing as we head into the second half of FY '26. Now turning to Slide 9 and an update on Rocklea. Our Rocklea expansion continues to progress as planned and is a key part of building a more flexible and higher capacity Cans network. Construction of the new 375 million can line is well underway and remains on schedule for completion by the end of FY '26. with commissioning during the first half of FY '27. Once operational, it will lift network capacity by approximately 13%. The project remains on schedule and close to the original budget, with approximately $100 million spent to date and approximately $40 million to go in the second half. When complete, Rocklea will be central to our expanded network, supporting major Queensland customers and increasing resilience, flexibility and service. The total expansion program is expected to deliver more than $50 million of incremental EBIT once fully ramped up in addition to the 1% to 2% organic EBIT growth we expect per annum. As shown on the right, our broader Cans investments across Ballarat, Dandenong, Revesby and Rocklea totals approximately $360 million, generating an attractive 15% plus return and more than $50 million of annual EBIT. We have now spent 88% of the capital, but realized only 38% of the EBIT given the expected 3-year ramp-up cycle. This means we are entering a period of significant earnings and cash flow leverage for the Cans business. Once Rocklea is completed and fully commissioned, we'll have capacity to support approximately 5% annual volume growth without further major capital expansion until after 2030. And with that, I'll now cover an update for you on safety and sustainability. So I'll turn to Slide 11 and safety. Our global health and safety strategy continues to deliver strong results. Our recordable case frequency rate has declined again with fewer recordable injuries over the past 12 months, and we recorded no serious injuries or fatalities. Our lost time frequency rate is up for the first half of FY '26, with most injuries concentrated in a few glass sites, and our focus remains on driving these health and safety programs across the business to achieve a sustained improvement in lost time injury frequency rate. We strengthened incident management, governance and root cause analysis, helping us identify and address hazards earlier. The FY '26 to FY '28 safety strategy builds on our previous program and will further embed consistent global standards. Our safety leadership tours continue to demonstrate senior leadership commitment and reinforce our safety culture. The health, safety and well-being of our people remains fundamental, and we will keep driving improvements through our key targeted programs. Now turning to sustainability and our promise to the future on Slide 12. Orora has continued work towards achieving its climate change targets. At a group level, we are targeting a 40% -- sorry, 41% reduction in Scope 1 and Scope 2 greenhouse gas emissions by FY '35 from an FY '19 baseline. And for Scope 3 greenhouse gas emissions, a 31% reduction by FY '35. Scope 3 progress will be reported for the first time at the end of FY '26. Pleasingly, the Global Glass business is progressing towards its 68% recycled content target by FY '35, building on the 44% achieved in FY '25. The focus globally has been on sourcing more recycled color and improving energy efficiency. The new G3 oxygen furnace at Gawler is a positive contributor to energy reduction, and we are exploring areas such as the potential for biomethane to displace some natural gas usage. Similarly, in Cans, there's been a focus on examining ways to better measure and manage energy efficiency on site while focusing on closer management of aluminum flat sheet recycled content as we pursue higher recycled content levels. As a result, the Cans business continues to progress towards its target of a minimum of 80% recycled content by FY '30, building on the 78% already achieved in FY '25. I'll now hand you to Shaun to discuss the group and segment financial results.
Shaun Hughes: Thanks, Brian, and good morning, everyone. I'm on Slide 14. I'll start with the group results before I cover the segment financial performance. This slide summarizes the group's underlying and statutory earnings result for the first half of FY '26. The numbers I will initially focus on are for the continuing operations, and they exclude significant items. Our statutory numbers are shown at the bottom of the page and further detail is included on Slide 30. I'm pleased to report that overall, we delivered a solid set of results, underpinned by EBITDA growth across all of our operating segments and strong operating cash flow performance. At a group level, revenue increased 9.7% to $1.13 billion, driven primarily by strong performance in Cans. Group EBITDA increased 14.4% to $218 million, reflecting broad-based growth across all divisions, including a strong contribution from Gawler, which was up $12 million. This also includes a currency benefit in our Saverglass reported numbers. Depreciation and amortization increased as expected, up 24.7% to $87.1 million, following the investment cycle in FY '25, including the G3 rebuild at Gawler and recent Cans growth investments. Net finance costs were lower at $26.7 million, reflecting the repayment of debt from the receipt of the OPS sales proceeds in December 2024, partially offset by the on-market buyback. NPAT before significant items increased 32% to $77.8 million, highlighting the strength of earnings and lower net finance costs. EPS pre-significant items was $0.062 per share, up 40.6%, reflecting the growth in NPAT and the benefit of the on-market share buyback. Statutory NPAT was $58.9 million and reflects the impact of the $18.9 million of after-tax significant items relating to the Saverglass restructuring costs that Brian covered in his presentation. Moving now to Orora Cans business on Slide 15. Cans revenue grew 18.6% to $442 million or 15% growth, excluding aluminum pass-through. This reflects strong customer demand with volume growth in the half of 11.2%, supported by new filling investments in Queensland with demand continuing to be driven by ongoing substrate shift and the growth of new categories. EBITDA increased 8.1% to $60.7 million. As previously flagged, the first half includes the allocation of $5 million of corporate overheads following the sale of OPS. Adjusted for this, EBITDA was up 17%, reflecting underlying earnings strength. EBIT increased 4.4% to $51.6 million with higher interstate freight costs and D&A tempering the growth in EBIT. Adjusting for the $ 5 million in corporate costs, EBIT increased 14.5%. Total CapEx was $ 62.8 million, and this will decrease in further periods as the Rocklea expansion concludes in late FY '26. Turning to Slide 16. Saverglass volumes were up 2.6% for the first half with the spirits mix growing versus the prior period. The growth was driven primarily by the tequila and vodka categories. Saverglass posted revenue of $ 298 million, down 2.6% versus the prior period. Pleasingly, EBITDA was up EUR 0.7 million or 0.9% to EUR 69.1 million, driven by a stronger spirits mix and ongoing cost containment measures. D&A was up year-on-year by $3.9 million as we cycle the one-off benefits in the prior period from the realignment of mold amortization policies. EBIT of EUR 34.9 million reflects this higher D&A compared to the prior period. CapEx was $ 11.8 million, and this includes mold sets and early works for the glum furnace rebuild of approximately EUR 1 million. Turning to Slide 17. Revenue for Gawler grew slightly, up 0.3% as contracted price increases offset softer beer and wine volumes. Volumes for the seasonally higher first half were marginally below internal expectations, reflecting ongoing market softness. Pleasingly, EBITDA and EBIT both grew strongly, up $12 million and $8.4 million, respectively. benefiting from the move to a 2-furnace operation and the completion of the G3 rebuild. Depreciation rose $3.7 million, reflecting completion of the G3 rebuild and oxygen plant. And post these investments, minimal CapEx will be required for Gawler going forward. Turning to Slide 18. The group delivered a strong cash result with a significant uplift in cash flow available to shareholders and strong cash realization, demonstrating disciplined working capital management. Now looking at the components of this cash result in more detail. Orora has delivered operating cash flow for continuing operations of $189.7 million, an increase of 51%, driven by higher cash EBITDA and lower base CapEx. A reduction in total working capital of $26.8 million improved cash flows, and this reflects a reduction in receivables, a modest increase in inventories, largely offset by higher Cans trade creditors as a result of higher aluminum prices and purchases to support increased production and sales. Base CapEx and growth CapEx were both down compared to the prior period, with growth CapEx of $57.8 million, largely relating to the final major Cans CapEx project at Rocklea of approximately $50 million. Net interest payments of $19.8 million were lower than the prior corresponding period, reflecting the receipt of funds in December 2024 following from the completion of the OPS sale, partially offset by 2025 calendar year buyback. The strong operating cash flow performance after CapEx, interest and tax has flowed through to free cash flow available to shareholders of $74.9 million, up $96 million compared to the prior period. This will further increase for FY '26 and beyond with only the Rocklea project remaining in our Cans CapEx program. With cash realization at 112% for the first half, this demonstrates our strong working capital discipline and highlights our commitment to cash management. Turning to Slide 19. Total CapEx was $90 million this half, down from $157 million in the prior period. This reflects the completion of our major projects in Gawler and Revesby. There is no change to our forecast FY '26 total CapEx of approximately $200 million, with base CapEx consistent with our long-term target range. Importantly, only the Rocklea Cans expansion for Queensland remains, and this will complete this financial year. Beyond FY '26, you can see that base CapEx will be $70 million to $95 million per year and the decarbonization CapEx for Saverglass will be $15 million to $25 million per year for a total of $85 million to $120 million per year. For clarity, there will continue to be some modest growth investment each year for productivity or new customer molds, for example, but these will bring new earnings as well. Consistent with our recent messaging, we are not expecting to add any new network capacity until the next decade. And importantly, any new addition in capacity will be clearly flagged and will be subject to our investment hurdles. D&A was $87 million for the half. D&A is expected to be in the range of $180 million to $185 million as newly commissioned projects are now included in base depreciation. Second half D&A will increase, reflecting the timing of commissioning of new projects. Saverglass depreciation is expected to be in the low $ 70 million range in FY '26. Slide 20 highlights Orora's strong balance sheet and net debt position, which is underpinned by strong liquidity of over $1.2 billion. As at the 31st of December, net debt was $386 million, with leverage at 0.9x net debt to EBITDA. The modest increase in net debt since 30 June reflects the impact of the buyback with just over $100 million invested in the buyback in the first half. This will increase in the second half as we continue to execute our new on-market buyback program announced today. Net finance costs in the first half were $26.7 million with no change to our FY '26 guidance of approximately $55 million to $60 million. This assumes that 10% of shares will be bought back on market within calendar 2026. That is we expect to complete a further 5% in the second half of FY '26, with the remainder of the 10% announced today expected to be completed in the first half of FY '27. As a reminder, our finance costs comprise more than just interest and include the following items: interest on our gross drawn debt at approximately 4.5%, ROU interest for leased assets of approximately $9 million and other items such as commitment fees payable for undrawn facilities and working capital financing. Turning to Slide 21. The Board has declared an interim dividend of $0.05 per share, representing a 79% payout ratio, which is within the target range of 60% to 80% of NPAT. The interim dividend is unfranked. As Brian mentioned, we announced a new on-market buyback today of up to 10% of issued shares or approximately $270 million. This will commence after the customary waiting periods of approximately 2 weeks. This follows the successful completion of the 2025 buyback program, where 110 million shares or 8% of shares on issue were purchased. I will now hand back to Brian.
Brian Lowe: Thanks, Shaun. Turning to Slide 23. I'll cover our FY '26 perspectives in more detail. For Cans, the demand tailwinds are positive and customers have invested in new can filling capacity, which we have supported by our own capital investments. We expect volume growth to continue and be consistent with our long-term projected growth rates. In the second half of FY '26, we will be cycling a stronger prior period, which included one-off customer inventory builds. Even so, momentum in the underlying business remains strong. Our investments are now largely complete. Revesby Line 2 has added approximately 10% to our network capacity, supporting elevated Queensland multisize demand and the Rocklea expansion remains on track for commissioning during the first half of FY '27. We expect a one-off Cans raw material and finished goods inventory build of approximately $30 million in the second half of FY '26 to support increased growth in customer demand. For Saverglass, global spirits and wine volumes remain under pressure across most geographies, noting that the premium and premium plus segments remain more resilient. Pleasingly, our order intake continues to increase, up 18% for the first 7 months year-to-date for FY '26 compared to the prior corresponding period and customer-owned inventory levels continue to normalize. For the second half of this year, we expect to see the seasonal mix shift to wine and champagne in line with the Northern Hemisphere vintage. The new executive team led by Emmanuel is now in place and are focused on executing their key business priorities. We also expect the restructuring initiatives announced today to generate approximately $ 6 million of EBIT savings from late FY '26. For Gawler, the team continued to work through the volume and efficiency challenges associated with the transition from a 3 furnace to a 2-furnace model. Domestic and export wine demand remains challenging with a continuation of a substrate shift for beer to Cans. Surplus volumes will be serviced by RAK in the UAE. And while the first half was softer than expected with volume down in the seasonally stronger first half, the team remains focused on driving initiatives that will support delivery of the targeted $30 million of EBIT in FY '26. Turning to our outlook on Slide 24. The full year outlook for FY '26 remains largely unchanged. For Cans, we expect EBIT to be higher with volumes consistent with the long-term growth rates, which supports EBITDA growth. This EBITDA growth will be partially offset by the $5 million in corporate costs allocated to Cans in the first half of FY '26 and the additional depreciation following the completion of recent growth projects. For Saverglass, FY '26 EBIT is expected to be broadly in line with FY '25 at a euro level. We anticipate volume growth and the benefits from cost reduction initiatives that we've already implemented. These will support stronger EBITDA in the second half compared to the first. That uplift, however, will be moderated by higher depreciation. And for Gawler, our lower first half volumes means that our focus remains firmly on the initiatives that underpin delivery of the $30 million of EBIT in FY '26. At a group level, this results in EBITDA and cash flow growth for all businesses. This growth will be partially offset by the impact of the additional $7 million of corporate costs that were previously allocated to OPS now being absorbed by the remaining group, and with higher depreciation tempering the FY '26 EBIT growth. As always, this outlook remains subject to global and domestic economic conditions, currency fluctuations and no further changes in U.S. tariffs. But thank you, everybody, for listening. That concludes the presentation part of today's call. Operator, I'll now hand back to you, and you can open the line for questions.
Operator: [Operator Instructions] And our first question today comes from Ramoun Lazar with Jefferies.
Ramoun Lazar: Just a couple of quick questions from me. One on Saverglass. Maybe if you could just give us a bit more color on the volume performance there through the first half and the improvement in spirits mix as part of that volume growth. Just wondering, is that reflective of just the typical seasonal sort of cadence for spirits? Or is there an underlying sort of customer win rate or anything there that we should also be thinking about?
Brian Lowe: There's a couple of pieces at play there. I mean, certainly, the spirits grew compared to the prior corresponding period. So that was positive for us. And we saw that across a range of key customers. So there is strength in our top customer group. And in fact, our top 20 customers that we have in Saverglass so the majority of those spirit customers all grew or that combined group grew a little more than our total growth at 2.6%. So that was primarily across the board. So we are seeing strength in our customer base, particularly in the premium segments that they're in and the brands that they carry. And what skewed the mix a little bit is we're actually slightly down period-on-period in wine, and that was more so in the second quarter where we have a large distributor in the U.S. and with their inventory levels they were holding, their orders were reduced in the second quarter, which was the main reason we saw a little lighter wine sales than we were expecting, and that also then had a mixed skew for us as well.
Ramoun Lazar: Okay. Okay. Got you. And then I guess just a quick one on the restructuring within Saverglass. Are you expecting any cost benefits to drop in the '26 year? And is that part of your, I guess, guidance? Does the guidance assume there is some sort of cost benefit there in '26?
Shaun Hughes: Yes. What we're -- so there's 2 parts to the restructuring. One is the original Le Havre structure, and we expect that to drop in from probably around February. So we're getting a little bit of that benefit now in January, and we'll expect most of that to drop in as a run rate benefit of $ 9 million from February. The second corporate restructure that we've announced today, that will really start to drop in only towards the very end of the second half. So we don't expect much of a contribution at all in the second half.
Ramoun Lazar: Okay. Perfect. And then just on Rocklea very quickly. Are you able to give us a bit more color on once that's commissioned, how to think about the EBIT cadence through '27?
Brian Lowe: Well, we're not going to give '27 guidance at this point. But certainly, we are investing in these capacity increases to support that ongoing growth, which has been strong. So again, if we don't add the capacity, we can't get the volume growth. So we would be restricted to quite minimal. And as we've guided, that sort of 1% to 2% underlying growth. So what we will get is the leverage from the capacity being in place in Queensland enabled or enabling continued volume growth. we're still working through what the freight impact will be this year. The team has done a really good job negotiating with customers to cover off a reasonable portion of those costs, but we should get some uplift from that into next year as well. But yes, we're not at this point giving FY '27 guidance.
Operator: And our next question today comes from Jakob Cakarnis with Jarden Australia.
Jakob Cakarnis: I just wanted to continue on from Ramoun's question, if I could, please, just on Saverglass. The first quarter trading update that you gave us at the AGM suggested that Saverglass volumes were in line with the prior year, and then you've just given us that they're up 6% in the first half. So that implies a second quarter acceleration of around 5.2% for volumes. Just wondering, just with the mix considering there and you're telling us it's going to shift back to wine and champagne, is there any reason why the total volume growth will reduce notwithstanding the mix headwinds, please?
Brian Lowe: I mean you are correct. We had stronger growth in the second half -- second quarter than we were predicting, which was good, and a lot of that was driven by resilience in our top-tier part of our customer base. There's comments around mix in the second half, and that is primarily because that is the stronger wine season and vintage season. So we would see a natural skew towards more wine volume in that second half. I mean our full year guidance, just to be clear, does assume that we get volume growth for the year and that we're getting volume growth in the second half. And given that we've guided to a broadly in line EBIT number for the full year and our first half is actually behind the prior year. We need to be in front in the second half. So volume and cost reduction are the items that are going to support us getting full year in line.
Jakob Cakarnis: Brian, that's where I was taking the question. Just one for Shaun. Just on those order intakes and the customer discussions, just wondering if you have any visibility at all what is potentially restocking in the supply chain or, I guess, some catch-up from the destocking of the prior 12 months or whether you're seeing a more fundamental stable sort of demand profile from customers, please?
Shaun Hughes: I think -- I mean, it's obviously the question we've asked ourselves a lot as well. We don't think it's necessarily a restocking. You can see that in the order intake for -- sorry, in the FAD, the customer-owned inventory as that's sort of bottomed out, that's become the new normal. So we think that order really represents underlying demand. And as we look at the read through AC Nielsen data and some of the other activity, it seems to align with what we're seeing from the conversations we're having with our customers as well.
Jakob Cakarnis: Okay. So with that considered, what are some of the pricing dynamics you and the current management team that have just landed in Saverglass thinking about as the go-forward position, please? Is it reducing some of that price mix headwind? Just give us a sense of what that might look like going forward, please?
Brian Lowe: Yes. I mean the market dynamics and competitive nature, I would say, remains pretty strong. So there's no doubt that it's still a competitive environment. The amount of price impact on the business thus far has been quite minimal. I think it's probably 1-plus percent of negative price that we've seen in the period. So it's not substantial. So the team are doing a great job of holding price at existing customers. What we've seen in terms of where we're getting some volume growth, a bit of that is at lower price points. A good example would be in cognac, where historically, we would supply majority into XO, cognacs and above. What we've done to shore up some volume is go lower in that range of products down to VSOP and even looking at some VS volume, and they are at lower price points, albeit still good margin products for us, but they come with a lower price. So what Emmanuel and the team are looking at is particularly where we have ongoing business with existing large customers, should we be looking at price as an enabler for us to gain additional share of wallet with those customers. But the mantra is certainly not just dropping price for product's sake. Where we will look at it, it's where we're going to get an incremental gain out of it.
Operator: And our next question today comes from Niraj Shah with Goldman Sachs.
Niraj-Samip Shah: Just coming back to the Cans business, volumes up 11%, revenue ex pass-through up 15%. I might have expected a bit more operating leverage than 17% EBITDA growth ex corporate costs. What was the impact of freight in the half just gone? And are there any other sort of constraints on the sort of that margin expansion at the EBITDA level in the half?
Brian Lowe: You're a hard task master, Niraj, 17% EBITDA growth on 11%, and that's underperforming in your view anyway, we might have a different view. We think that's pretty good leverage. But be that as it may, look, there's a little bit of freight impact in there as well. As we said, we're still working through that with a number of customers to have that push through to them. So we're not quantifying what the impact is/will be and may flow into FY '27 at this point. But we're certainly confident that as we continue to see volume growth with these new investments, we should be able to see EBITDA growth greater than our volume growth. And ultimately, we want to have EBIT growth above that as well. So even with a little bit of freight impost and additional D&A, which is stepping up considerably into that business, when we take out the allocation change, we exceeded the growth rate with EBIT that we did to volume. So we're pretty pleased that we're seeing what we expect to see from the business.
Niraj-Samip Shah: Makes sense. And then secondly, just on Saverglass, do you have a sense of where your main customers are within their kind of NPD cycle? I imagine everyone is scrambling pretty hard to find any growth they can, pulling any levers they can.
Brian Lowe: Yes. I mean our NPD pipeline remains quite buoyant in terms of number of projects. Emmanuel and the team are really looking deep into that, particularly with our major customers. We've got a key initiative to shorten the cycle time of NPD and prioritizing those where we can gain a much larger share of wallet, particularly with the majors. So there's active programs that we have with a lot of the major customers, which is great. But our results even in the first half show that the product lines that we supply to our major customers are actually quite resilient. I mean in the vast majority of cases, they were up for the half. So yes, they're fighting, let's say, macro across the category, but the specific premium segments in and the brands that they have are standing up really well.
Operator: And our next question today comes from Sam Seow with Citi.
Samuel Seow: Just quickly on Cans. As you think about the second half, I feel like to hit your profit growth expectations, the numbers you'll need implies a bit of profit growth on effectively flat volumes. So just wondering if you can kind of parse that out and help us understand where that incremental profit growth is coming from.
Shaun Hughes: Well, I think at the end of the day, it's our assumption around volume. We are cycling a very strong second half in the prior period. So we're probably not going to say much more than the EBIT guidance that we've given at this point. But you would expect naturally those volumes to come back down towards our normal long-term growth rates of somewhere between 4% and 6% in the full year.
Samuel Seow: Okay. Got it. And then maybe just the working capital build, that $30 million. Could you perhaps help us frame that up what percentage of COGS or inventory that looks like exactly or provide any relativity what that $30 million looks like?
Shaun Hughes: Yes. There's a couple of things that are really playing out. It's both finished goods and it's also raw materials. So as we bring online these new Cans plants, we need to hold a number of different grades of aluminum. And so as we bring online each of these plants, we need to make sure that we've got the right grades across all of those plants. So we'll make that investment in this period. And then secondly, over quite a number of years now, we've been running down our finished goods inventory below what we would consider acceptable levels of safety stock. And so what we wanted to do in calling this out was to be clear that in the second half, there would be a small investment in Cans to support that. We'll still expect to be well within our normal long-term target cash conversion ratios, but we will be slightly below what we currently generated, which was circa 112% cash conversion in the first half.
Brian Lowe: Yes. Yes. And just to add to that, I mean, just a reminder, the aluminum supply is all outside of Australia. So it's fairly long lead times on those products. So having adequate safety stock of, as Shaun said, the right grades now because each can configuration in the majority of cases requires a different grade and therefore, different coil stock of aluminum. So that has certainly increasing complexity. So we need to make sure we've got that balance right and ensuring that we have adequate safety stock, you can look at obviously what the revenue is for Cans on an annualized basis and then look at this investment. It's not massive relative to the additional inventory it's adding.
Operator: And our next question comes from John Purtell with Macquarie.
John Purtell: Just had a couple of questions on Gawler to start and then one more after that, if I can. So just on Gawler. So obviously, one of your major customers, TWE, has announced a significant inventory adjustment process. What impact do you expect that to have on Gawler going forward? And then the second part, you've obviously mentioned the 31% energy reduction there, which is better than expected. So presumably, that's flowing through to lower costs, which is helping to offset the weaker volumes.
Brian Lowe: Correct. So your last statement is very correct, John. Thank you. So yes, the lower cost, the team are really doing a good job of managing that and G3 is humming along really nicely. So we're very happy with that. Look, I mean, we're continuing to work with our key customers on what those forward demands look like. And for us, look, we've got considerable volume, as you know, in the pipeline and in our demand profile relative to what we make at Gawler. So we have that flexibility to keep the furnaces full. And that's the primary thing that will drive the earnings level. So if we do have some customers that do a bit of a reset that's a reset, so it's not a permanent decline, we can flex through that relative to what we import versus what we make. So we're still confident that this new model puts us in a pretty good position.
John Purtell: And just the second aspect around your Cans business there. I mean how quickly do you expect Rocklea to ramp up to full capacity? I think it's been around a 12- to 18-month ramp-up for your other plants.
Brian Lowe: Probably a bit longer because if you think that Revesby Line 2, which only came on last year, is not -- our network is not completely full at this point. So that's been beneficial. And Rocky adds 13% network capacity. So which is why we've modeled we can pretty much keep growing at 5% per annum through to 2030 at this point, and that's really how we're assessing the capacity.
John Purtell: Got you. And just one more quick one, if I may. Just regarding the corporate restructuring costs for Saverglass. Do those costs relate to headcount reduction primarily that you've called out? And in terms of the $ 6 million of benefits, is that all cost out? Is there any revenue benefit in there?
Shaun Hughes: It's all cost out, John, and it all relates to headcount.
Operator: And our next question today comes from Brook Campbell-Crawford with Barrenjoey.
Brook Campbell-Crawford: Just 2 for me. Firstly, on the Saverglass guidance. I guess in euro terms, the guidance seems to suggest the second half EBIT in euros will be pretty flat year-over-year before restructuring benefits from Le Havre. So just keen to understand why that would be the case given you've had orders up 18% in the first half and there's a 4- to 6-month lag and there's an improvement in the mix in those orders as well. So maybe just a bit of commentary around that would be helpful to start with.
Shaun Hughes: I might make a couple of comments, and Brian might want to add something as well. Look, in terms of the forecast, what we're forecasting at an EBIT level is that the Saverglass in euros will be flat, as you rightly said. That implies that we need to recover the underperformance, if you will, relative to last year's number in the first half in the second half. And we are confident that the balance of the volumes growth assumptions together with the cost out will flow through to make that real. The other thing to remember is that there's also that depreciation movement as well. When you look at the second half needs to come up slightly off the first half, just given the timing of some of the capital investments.
Brian Lowe: Yes. And just to add to that, I mean, we are -- yes, we are expecting volume growth period-on-period. But we also still have seen overall a negative revenue impact relative to that. So part of that's been on a little bit of price. So that does cost us a little bit and a little bit of negative mix still, and that's even negative mix within category. The example I gave before about cognac, where if you look at cognac volume in total, we might be pretty steady. But the mix within that, if we're supplying some of the lower-end products, they are at lower price/lower margin. So there are those negative impacts that we're offsetting with the cost reductions. And obviously, things like the restructuring from Le Havre are helping in the second half. There's no doubt about that.
Brook Campbell-Crawford: That's really helpful. And just a second question around listen, a small one, but the other income line looked to increase $5 million year-over-year. It was $6.9 million in the half. Just want to check if that kind of flowed through your underlying earnings that's presented. And if so, kind of what's boosting that? I just want to check there was nothing kind of one-off helping the underlying result.
Shaun Hughes: No, it's probably just the timing of some of the cash that we've held as we -- if you recall, we received the OPS cash receipts. We did carry some excess cash through the period. So it's mostly as a result of that. And it is in the underlying number for clarity.
Operator: And our next question comes from Keith Chau at MST Marquee.
Keith Chau: First question, just on the order intake volumes. I think this has been discussed in prior forums before. But that order intake volume growth, that was pretty strong leading into the end of FY '25. I think order intake volumes were up 1% in the 6 months to June, and that's subsequently increased another 18%, but the volume growth observed in the period was only plus 2.6%. So given the 4- to 6-month lag, can you help me understand what the differential is between your volume performance and your order intake or whether there's a cancellation rate metric that we should be thinking about as well? Because ultimately, as the volume growth is positive and those order intake volumes are represented, we should actually be getting well into the double-digit growth for volumes. So if we can have some color around that, that would be great.
Brian Lowe: Yes. Look, I mean, the dropout rate of orders is actually quite low. So there's not that. I mean there is quite a bit of variance in terms of the offtake. So that's both in terms of the timing of when customers -- when they place the order when they tell us they actually want it and then when they actually take it. So even though we make it at a specific time, then what may be negotiated in terms of final offtake and when it goes into either the customer own inventory or they buy it can vary considerably. So we have seen quite a lot of variance in that. So it's not a direct translation. And certainly, our intention with providing the order book is really to provide a directional view of what we see rather than it be a specific calculation for people to draw and say it's up by X percent, which we've shown the percentage, but that, that correlates to exactly what we should be seeing. But if it continues to hold close to double-digit increase levels, then I would agree with you, when those orders do flow through, and that can vary, we should start to see volume sales at those sort of levels. But we -- there's a lot that moves within that.
Keith Chau: Okay. So I guess using those order intake volumes for direction, that's one -- could we call it a small component of the variables that goes into your final production numbers or sales numbers? Because it does sound like that you have some orders might be seeded on the other side of that, whether that's contracts ending, not renewed or other contract variations that whether the intake numbers don't tell the full story.
Brian Lowe: Well, the orders are orders. So if you're in there, but there's different orders in there, right? There's made to order, there's products that come out of stock, and there's varying time frames from when they get taken. So I think that directionally, the order intake is -- should be representative of what we would expect to see over time. But I guess what we'd caution on is to look at it directionally rather than quantitatively.
Keith Chau: Okay. I appreciate that, Brian. And then secondly, with respect to the revenues being down 2.6% for Saverglass volumes up 2.6%. The effective price mix should be down, but there's chatter about disclosure about spirits mix growing versus 1H '25. So the remaining influence is that price impact for wine Champagne and cognac must have been quite significant to the downside. Can you give us a bit more color around that movement, please?
Brian Lowe: Well, if you look at the delta from revenue -- sorry, from volume to revenue, there was more than a percentage point is FX translation from areas like the U.S. sales that then translate back to euro in the period. So then you're probably circa 4%, and we probably had 1% and a bit of price that's true price in there. And that leaves us 2 and a bit percent of mix, which we think stacks up and the analysis the team have done stacks up that that's within product line mix rather than across wine to spirits because wine to spirits is one assessment. But certainly, within category, we're comfortable that, yes, there's been volume that the teams have been pursuing and rightly so that some of that is at a lower price point or a lower margin point than what the average had been.
Operator: And our next question today comes from Cameron McDonald at E&P.
Cameron McDonald: Just wanted to touch on Gawler again. You've said that it was below your internal expectations, but you've maintained that for the first half, but you maintained full year guidance. So what would you normally expect given you've restructured it? We don't have a great view on what the first half, second half SKUs would normally be. But given you've got a greater first half skew in this half relative to the full year guidance, but you've underperformed, that sort of implies you've got to outperform in the second half. So what exactly would that be outperforming by relative to your expectations, please?
Brian Lowe: Yes. Look, we're not a long way off the first half. Volume is probably down a couple of percent from where we would have expected it to be. I mean, traditionally, for Gawler, we'd be looking at 55-45 roughly split of volume half-to-half, first half weighted, maybe a touch more. So being under a little bit in the first half means we've got a little bit of ground to make up in the second half. So a lot of what the team are focused on is really around cost as well. Can we drive some more volume in the second half? What do those opportunities look like, but also really going hard after the cost lines because we set targets and we have multiple levers that we can use to try and achieve them. We just wanted to be transparent that from a volume expectation perspective, we were slightly off where we thought we should be landing in the first half.
Cameron McDonald: Okay. Great. And then just in terms -- and you've mentioned the currency and the guidance is maintaining currency in euro terms for Saverglass. Obviously, then it has to be reported in Aussie, but you've also highlighted the euro-U.S. Is there any -- are there any levers you've got that you can mitigate some of that currency movement? And what are you -- in terms of what you're thinking at the moment or planning for the business, what sort of currency assumption are you making from a management perspective?
Shaun Hughes: So there's a lot in that, Cam. So the first thing we try to do is from a balance sheet perspective, we try to align the underlying earnings with our borrowings. So that gives us a natural hedge. In terms of specific transactions, we hedge individual transactions to make sure that we align our customer contracts with our underlying cost of production. But fundamentally, long-term shifts in any currency, you can't hedge out of. So what we do is we make sure we've got coverage over the short-term volatility and particularly align cost of production with customer contracts and then use the balance sheet effectively to give ourselves a more natural hedge.
Cameron McDonald: Okay. And final one from me. You're starting to see some of the larger beverage companies talk about discounting to help drive volume, which we've sort of touched on a little bit. At what point do they come back to you and ask you to contribute as part of that? Or is it just purely that discussion earlier where you sort of said, well, as long as it's increased wallet share? Or is there a point in which they just can't give you more wallet share?
Brian Lowe: Again, a few questions in there. Look, from a discounting standpoint for them to drive sales, I mean, generally, that's a marketing tool that B2C companies use. So I mean that's normally part of their own arsenal. Given that our product may only represent 3% to 5% or 6% of their total retail price, it's having virtually no impact on whether or not they're able to give price because they're talking about a lot more percentage points than that. So that's not where the pressure comes in. It's really just when they look at their medium- to long-term profitability, those discussions always happen, right? And they've happened in every part of our business and continue to that they're always looking for ways that we can support them from a lower cost of goods perspective. But we don't have to support them when they're doing discounting work as such because, yes, that's just not normally the way it would work.
Cameron McDonald: Okay. Sorry. And just an extension to that, are you seeing any activity around seasonal promotions or anything like that, that potentially change some of the packaging demands?
Brian Lowe: No. I mean we're certainly seeing a number of the major brand owners who have been putting a lot of work and money behind promoting their brands globally, and we think that would continue. I don't think it makes much difference in terms of that flow-through impact to us. A number of the items we have in our NPD pipeline are also where customers want to look at either some rebranding or some differentiation. So that's ongoing as well. I wouldn't say we've seen necessarily a major increase in that.
Operator: And our next question today comes from Lee Power at JPMorgan.
Lee Power: Just your comments around Saver glass volumes in the 2H and the skew to wine and champagne. I think last time at the results, you talked about winning share in particularly the champagne category. Can you just maybe give us an idea of how that's progressing? And I guess how much of the 2H volume kind of story is share versus your assumption around market recovery?
Brian Lowe: Well, we're not relying on market recovery, and that's pretty clear. So when we look at the pipeline of business and Emmanuel does this in excruciating detail with his sales teams is where is our core business likely to sit and where is the new business that's coming in adding to that. And certainly, the focus on wine and champagne, which has been there for a little while now. We are seeing the benefit of that in some of our forward-looking orders and forward-looking projection rather than relying on existing customers buying more than they did in the prior period.
Lee Power: Okay. That makes sense. And then I mean, USMCA, it's obviously hard, but it feels like the media reports are ramping up. There's a bunch of stuff out this morning around Trump quitting USMCA. Are your customer base trying to do anything to kind of prepare for changes around it? Like how do they kind of try and prevent a one-off shock if something happens?
Brian Lowe: Well, we've been for really since the first foray of tariffs was flagged many months ago, been working with our customers on what some contingency plans could look like for them depending on different scenarios. So a lot of that work has been done in terms of where could we supply product from to them, whether it's today out of Mexico, whether it's out of the UAE or elsewhere depending on what those tariffs look like. So yes, there have been ongoing discussions. There's not new discussions because the threat of that was there really from day 1 when Trump talked about tariffs.
Lee Power: Okay. That makes sense. And then just a final one, following on from Cam's question. Like obviously, there's kind of a lot of moving parts in your answer around the FX piece. Like do the sensitivities, if we use the sensitivities in your FY '25 results, is that kind of somewhat useful? Or is it just kind of moving around too much that we can't rely on them?
Shaun Hughes: Sorry, we didn't quite catch that. There's a lot of sensitivities around and the line broke up.
Lee Power: Your answer to Cam's question around FX, there is obviously a lot of moving parts in your answer around FX. So I guess what I was asking is, can we apply the sensitivity that you give us in the FY '25 annual? Does that broadly still hold? Or is it just too many moving parts with around hedging, so it doesn't hold anymore?
Shaun Hughes: No, I think you can apply that. I mean I think you can apply that in any sort of reasonable time frame. I think that sort of makes sense.
Operator: And our next question comes from Mark Wilson at RBC.
Mark Wilson: Look, just on D&A, your full year guidance implies that there is a step-up in the second half. Just wondering what divisions that will impact? And does that effectively provide a new base for fiscal '27 from which we should add depreciation for the Rocklea expansion?
Brian Lowe: Yes, it does. So there's 2 bits to that. So firstly, the second half does imply a step up. There's a little bit in Saverglass. Most of it is in Cans and in Gawler just in terms of the timing of the Cans Helio and the Queensland plant, et cetera, flowing through. And then there will be a step-up on a part to full year basis for Rocklea as we then get into having a full 12 months of depreciation for that in FY '27. And so the life of that asset is 30 years on roughly $140 million build.
Operator: There are no further questions at this time. I'll now hand back to Mr. Lowe for closing remarks.
Brian Lowe: Great. Thank you all for your questions, and look forward to any follow-ups you have. Thanks for your time today.
Operator: Thank you. That does conclude our conference for today. Thank you for participating. You may now disconnect.